Robert Forrester: Welcome to the results presentation of the interim results of Vertu Motors plc for the 6 months ending August 2025. My name is Robert Forrester, Chief Executive, and I've got Karen Anderson, our long-serving CFO, who's going to go through the financials. If we turn to the investment case for Vertu Motors, we continue, we believe, to do the right things to create a very strong business within U.K. motor retail. We believe scale drives benefit and actually, we believe these benefits are increasing over time, particularly in the area of the ability to invest in technology to drive productivity increases and cost reductions, and the benefit of having large single brands across the national space to drive brand awareness. In the period, we've announced today the appointment of two new managing directors, two new roles for internal promotions, who will take the operational responsibilities of the divisions and provide greater bandwidth at a very senior level. We continue to focus on delivering great colleague and customer satisfaction levels. Our customer experience scores as measured by the manufacturers are well above national average. We continue to invest in technology, and this is proving absolutely pivotal in the cost initiatives that we are driving through not only to lower cost, but also to make us more efficient and to help the customer journeys. We have delivered in these results excellent cost trends despite the headwinds, and that focus on cost through the use of technology will indeed continue. Portfolio management and capital allocation remain an absolute priority. We are clearly seeking to manage the growth of Chinese brands within the U.K. market, but also the need to modify the portfolio to recycle capital from low-return to high-return activities, which we've continued to do so in the period. Our share buyback continues and clearly, that's important, especially given our tangible net assets have grown to 76p per share. The U.K. consumer space is clearly challenging. The sector itself has issues around the government's electrification agenda, and they do provide headwinds. However, the group has delivered a strong operational performance as we seek to focus on what we can control. We have delivered market share gains across all channel of vehicle sales. We have been absolutely focused on cost control, and we had a 0.3% rise in Core costs despite noticeable headwinds. Our battery electric vehicle retail sales have increased 82% in the period against a market growth of 55%. We're gaining share in that all-important market. What we did not anticipate at the beginning of September was a global one-off event being the cyber-attack on Jaguar Land Rover, one of our major partners. That has caused major disruption to our 10 dealerships in the U.K., but I'm pleased to report the situation is now easing. The attack impacted our September profitability by GBP 2 million. And when we look at the potential full year impact in the current financial year, and this is clearly highly uncertain and dependent on getting systems back, getting back to normal trading, we anticipate the result could be impacted by up to GBP 5.5 million in total. This year, we extended our cyber insurance risk to business interruption from third-party outages. Clearly, we are now working with our advisers to progress a potential claim where possible in respect of the losses that we have incurred in relation to this JLR outage. We have appointed forensic accountants to help the group to work with our insurers on this. We will clearly update shareholders on the impact over the next few months of the cyber-attack and indeed on the impact of any potential upside from an insurance claim. Moving on to current trading and outlook and particularly the September result, which is a plate change month and therefore, very important for delivery of an H2 result. I'm pleased to report, excluding the impact of JLR, that September was a good month with profits up on last year. We had a strong used and aftersales performance. Used cars, for example, were up 5.3% like-for-like, a much stronger rate than in the previous months. Acquisitions positively contributed on top of the Core performance. New cars remained a challenge. Motability sales were down 15% in volume terms, and that clearly impacted gross profit generation for the Group. Manufacturers without grant support on electric vehicles faced competition from manufacturers with grants and indeed utilize some of the retailer margins to compete with strong consumer offers. That clearly impacted our margins. We also saw a market that shifted quite considerably to high preregistration activity at the end of the month, which I think will impact registrations in future months. Overall, however, it's pleasing to see that the Group did deliver increased retail new car volume on a like-for-like basis of 1.8%. Also on the positive side, we saw a 25% increase in Fleet car volumes, aided by significant BEV sales and indeed the impact of the grant, which isn't just for retail customers. There's probably going forward into quarter 4 calendar, less pressure on the manufacturers this year around BEV targets, which is a good thing. The ZEV mandate has seen some extra flexibilities and the grants have clearly led to an increased consumer demand and uptake of battery electric vehicles. That should make quarter 4 easier than last year. Turning to Motability, which has been weak throughout H1 and in September, we now see comparatives at a much-reduced basis going forward. And additionally, we expect the Motability market will recover from March next year due to the timing of renewals. Overall, excluding JLR, we expect full year profits to be in line with market expectations, but the Board are mindful of a cautious outlook on the consumer side and business sales side. The Autumn Statement at the end of November is clearly of key interest. We turn to the strategic update. The Group has had a consistent strategy and was recently reaffirmed by our Group strategy day with the Board in September. If we take growth in particular, we will see further growth in Q4 in outlets. Our expansion with BYD, which is the leading Chinese manufacturer, it gathers a pace. We will open our former Citroen dealership in Nottingham as a new Skoda business, which we're excited about, and we will see some further small-scale acquisition activity. Our cautious outlook means that our focus in the near term will be very much on maximizing our existing portfolio in the remaining months. If we look at sector trends in the near term, it's interesting that of the three trends we're going to talk about, we are not talking about the rollout of the agency model as one of the big three. We have BMW planning to launch agency in the U.K. in 2027, but there's been a general rollback and ceasing of agency as a strategy. Clearly, electrification is the big issue facing the new car market. There is still pressure from the ZEV mandate and the targets going forward and indeed in 2025, where the government set a target of 28% are not going to be achieved. This is a headwind on the new car market and indeed profitability. I think we're more optimistic than last year. The ZEV mandate flexibilities, the EV grants have gone down well with consumers. The demand for the Ford Puma, for example, was absolutely startling in September, and we've got a future order bank for that product. There are far more affordable cars, some less than GBP 20,000 that are battery electric vehicle in the market today. This was not the case in the new car market in the prior year. Products like the Hyundai INSTER, the Dacia Spring are two that spring to mind. However, Volkswagen brands are also bringing out much more affordable product into the marketplace. Electrification is the long-term answer, and it will come, but it will not come at the government's pace. The second issue to discuss is the role of Chinese new entrants into the marketplace. The starting point here is that the Chinese domestic car market is in carnage, well-documented carnage, oversupply, price wars, discounting and a trend now for natural selection amongst Chinese domestic manufacturers. The U.K. is seen as the go-to place for the Chinese to come. Why? Well, we haven't got major tariffs on Chinese product, and there's no clear national champion amongst U.K. manufacturers as in other countries, except perhaps JLR. You have recently read that the U.K. is now BYD's biggest market outside of China. The Chinese cars typically have great technology, fantastic electric vehicles with great battery technology and their hybrid cars are also much sought after. However, there will be a somewhat break on the exponential growth of the Chinese in all likelihood. We've got a lot of new brands coming into the United Kingdom, all requiring 6 car showrooms, but there's no new build showrooms being put in place. This will limit growth, how many spare 6 car showrooms actually are there. And we, as Vertu, need to balance chasing market share and growth of car sales with making money, and we will play the long game here. We will assess new entrants, and we will assess in the short term whether we want to invest. You've got to remember, for a Chinese new brand, there is no high-margin aftersales. We have concentrated and will continue to do so on MG and indeed BYD, and we will clearly assess others over time. The third and topical discussion is around Finance Commission. The Supreme Court sat in the period and indeed did curtail the wildest aspects of potential claims against lenders in relation to Finance Commission in the auto sector. In what was perfect timing, last night, the FCA released a consultation paper on any redress scheme. We're now in a period of consultation, and we will be diligent to respond to the FCA in a very structured way. The FCA's focus on redress is likely to be levied at least initially on lenders. We will, as retailers, be key to providing the data to actually calculate our redress scheme. We will continue to assess the position, but we do not currently consider the need for provisions. Our digitalization strategy has always had two components. One is the push technology to increase productivity and indeed control costs; and secondly, to increase our sales and marketing effectiveness. We have to do both, though in this period, given the cost pressure, we probably put more effort into the cost control. Our Finance Efficiency project, which has been going on for the last 12 months is now really bearing fruit, and we're starting to deliver significant cost savings. We have reduced significantly the amount of invoicing between internal departments and particularly, we've developed technology to make sure cash processing doesn't need manual involvement for a lot of intercompany transactions, but also for external transactions. So we now have Internet-based payment systems that are seamless that a service customer can now pay and the cash gets automatically posted into our dealer management system. There is more of this to come and more savings to be had. In terms of Data and AI, our data warehouse is complete. Our customer data platform has gone from concept to reality, and we are now delivering multiple use cases to make us far more efficient and effective in personalized marketing. If you go on to the web and you have bought a function such as trying to book online service booking, you are likely to receive a personalized piece of marketing to get you back on track. This is delivering a good ROI. There is no doubt in our business that AI is actually real. The executive sat down and defined a strategy, which now our development teams are implementing. We have a formal AI policy to protect the business from AI issues. We actually held a competition for our 60-strong development arm, a Dragons Den AI competition with a GBP 10,000 prize to flush out great ideas that were capable of immediate implementation, and we are implementing them. Examples of use of AI. Use of customer-friendly technology to reduce calls into our contact center. We're using AI e-mail systems to prospect service bookings from our database, and those bookings are effectively all done via e-mail correspondence and the booking goes straight into our dealer management system. One of big areas to look at is that e-mail sales inquiries are historically very low-converting, and there's a lot of human effort gone into corresponding by e-mail with potentially little reward. We're now starting to use AI to warm up those e-mail sales leads to get them to a sufficiently hot prospect to enable humans then to finish off the job. We are at the start of the journey on this for sure. Third element is our new website, which -- we now have one single brand of Vertu, and we, therefore, took the opportunity to revamp our website. We're doing it in modular stages, so it's not a big-bang approach. We have made massive progress in terms of search engine optimization and user friendliness and the full website will be redone by mid-2026. An area of weakness, I think, in our offering online is YouTube content, particularly around new and used vehicles, and we will certainly -- we've certainly developed a strategy to make sure that we address that. Turning to brand aspects. The single Vertu brand is now in place, and I think we've avoided the major pitfalls in moving our major brand of Bristol Street Motors into Vertu in April. In September, the Vertu brand had a U.K.-prompted brand awareness of 11%, that has grown to 19% in September, and we fully expect us to hit 30% during the next financial year. The reasons for this growth is very simple. Having one brand increases our ROI on marketing activity. Team Vertu with its fantastic BTCC racing team were at Brands Hatch last weekend and won many trophies, including Best Driver and indeed, Best Manufacturer. So, this then affects 191 sales outlets. The EFL Trophy at Wembley is a massive exercise in brand building, 75,000 people attended, never mind the early rounds, and it affects every single one of our dealerships. In recent weeks to support the Vertu Trophy, I've had the pleasure of going to Barnett and MK Dons for the early round games, and it's great to see the Vertu brand very prominent. This isn't only about brand awareness, though, our partnerships with the Manchester concert venue of Coke Live and the EFL gives us access to marketing databases with which we can then do direct marketing. In July, we took the step of having our first ever group-wide used car event under one brand. We used a full gamut of media, including a TV campaign to drive increased inquiries through our dealerships and a good time was had. We got a lot of excitement into our businesses, and we saw like-for-like used car sales in July up 12%, which is no mean feat. Next year, we intend to extend this strategy of having two 10-day used car events, but also having three new car events, the first time that we've used the power of the Vertu brand to have one event across the entire estate to drive new car sales. I think it will be a success. Finally, before Karen deals with the Financial Performance, I wanted to update you on a senior management structure change that we intend to make from the 1st of January and which we have announced today. The three founding directors of the business, myself, Karen and our COO, David Crane, have been in place from 2006 when we formed a cash shell, and we now lead a GBP 5 billion revenue group. My span of control, I think, has been too large. I don't think it's fully amended the fact that we now run a highly complex and very large group. All the operation divisions report directly into me and I think it's time to augment management. From the 1st of January, two of our trusted group operations directors, one who currently runs the BMW division and another who currently runs the Jaguar Land Rover division, will be promoted to managing director roles with the operating divisions reporting into them. This will give us greater bandwidth and will allow me to focus on the strategy and execution, particularly around growth and portfolio changes, seeing of more of the manufacturers, which is a franchise operator is a very good thing, spending more time in the dealerships and indeed developing our senior leadership team. I am excited about this. I think it sets us fair for the years ahead. Karen?
Karen Anderson: Thank you, Robert. Slide 13 shows a summarized income statement for the Group for the period. Group revenues grew by GBP 35.4 million, with this growth attributed to acquisitions, particularly the Burrows acquisition, which was completed in October 2024. Core Group revenues declined GBP 49.2 million, predominantly in new vehicle sales due to lower Motability vehicle volumes and the move to agency in the Group's mini dealerships. Gross margin increased to 11.2% due to the increased mix of higher-margin aftersales revenues. Costs grew as a percentage of revenue, however, were tightly controlled with Core Group costs rising just 0.3% or GBP 0.7 million on prior year despite the cost headwinds we faced. Adjusted operating profit reduced on prior year levels, driven by the reduction of profitability from the new car channel, with this reduction flowing through to EPS. The group's interest costs grew slightly with increased manufacturer stocking charges and lease interest, partially offset by increased deposit income and the impact of reduced interest rates on our borrowings. Non-underlying costs represent redundancy costs as the Group applied technology to improve the efficiency, particularly in the finance function, which moved to divisional accounts processing hubs in the period. In addition, exceptional non-underlying costs include the cost of closure of two of the Group's dealership locations. Turning over to Slide 14. Here, we have a profits bridge of the adjusted profit before tax compared to prior year for the period. Core Group gross profit declined by GBP 1 million over the prior year period. And clearly, the standout negative here is the GBP 4.4 million reduction in gross profit from new vehicle sales. This decline was driven by a significant reduction in Motability sales volumes consistent with the market decline in this channel as well as significant discounting of battery electric vehicles, which impacted new vehicle margins. Offsetting this shortfall was the significantly improved gross profit generation from the Group's resilient and high-margin aftersales operations. Our service department here benefited from an increase in the internal rate charged to the vehicle departments in the preparation for vehicle sales, which did actually move some gross profit from new and in particular, used car sales into aftersales. Used gross profit generation exceeded prior year levels, even after having absorbed the additional cost of preparation from service. Margins and volumes were broadly stable in the period with the improvement in overall gross profit generation arising from improved gross profit per unit, which was aided by the Group's used vehicle algorithm valuation tool. Core Group operating expenses, as I said, grew just GBP 0.7 million, and I'll cover those movements in more detail on my next slide. Contributions from dealerships acquired or started up represents a year-on-year movement of GBP 0.2 million. And this was expected given the start-up nature of some of the dealerships within this category with improved returns expected as these dealerships mature. Turning to Slide 15. We've given you further detail on the Core and Total Group underlying expenses. Overall, Core Group operating expenses rose just 0.3% over the period despite a significant increase in cost of employment driven by the Autumn 2024 budget, which increased national minimum wage and company NIC costs considerably. The biggest single cost of the Group is salary costs, remembering that the figures on this slide actually don't include the productive cost of technicians, which are in cost of sales. Salary costs in the Core Group in operating expenses rose just GBP 0.3 million over the period. And this reflected the impact of the Group's cost-saving initiatives, which we completed largely by 28th of February to offset the impact of that Autumn budget increase, but also reflects some of the cost savings we've done in the current year in respect of things like finance efficiency. The greatest percentage cost rise was seen in marketing costs, which rose GBP 2.1 million over the prior year in the period. The Group invested in marketing both in the move to the single brand Vertu in the period and also in a 10-day used vehicle sale event for which there was no comparative in the prior period, which helped drive used vehicle sales volumes in what was undoubtedly a subdued market. The Group delivered a saving of GBP 1.9 million in vehicle and valet costs, reflecting cost-saving activity in this area, and Robert will cover this in more detail shortly. But this actually was combined with tight cost control in respect of the Group's demonstrator and courtesy vehicle fleet. The Group's share-based payments charge now in underlying costs has increased as a result of the increase in number of management colleagues in the group to which awards are made following the acquisition of the Burrows dealerships in October last year. Turning to Slide 16, we've summarized the group's balance sheet. It remains very stable and strong, underpinned by the Group's freehold and long leasehold property portfolio of GBP 336 million, which is carried at historic depreciated cost. The increase in current assets compared to August 2024 relates predominantly to the movement in inventory shown here. New vehicle pipeline inventory, much of which is funded by our manufacturer partners has increased since that date, while the Group has been successful in reducing both used vehicle and demonstrated inventory levels again since August 2024. Used vehicle inventory has, however, increased by GBP 17 million compared to the position at the year-end at the end of February. And this relates to the tight supply of particularly 3- to 5-year-old vehicles in the market. And as a result of that, the Group took the decision to retain higher inventory levels at the 31st of August than we did at the end of February to ensure that the Group had sufficient inventory to enable a good sales performance in September. And the 5.8% like-for-like growth in used vehicle sales volumes in September was undoubtedly aided by this decision. Crucially, though, used vehicle inventory was lower than the position at August last year despite the acquisition of Burrows. Tangible net assets per share of 76.1p, and this clearly reflects the strong asset backing of the Group, and it's also increased on the level in February due to the share buyback program. Turning over to Slide 17. This highlights the Group's cash flows in the period. We generated a free cash inflow of GBP 0.4 million, which was impacted by a GBP 21.2 million cash outflow from working capital compared to the position at the end of February. The main elements of this outflow were a GBP 14.5 million outflow relating to the increase in used vehicle inventory and our decision to retain higher inventory levels at the end of August and an GBP 11.2 million outflow from reduced deposits on Board orders. Deposits at February reflected the strong March order take ahead, in particular, of vehicle excise duty changes in April, while at the end of August, we saw some customers deferring orders pending clarification on EV grants. This explains the comparative difference here in vehicle deposits held. Sustaining capital expenditure of GBP 8.5 million was spent in the period, with this partially offset by proceeds from the sale of surplus properties of GBP 3.3 million. A further GBP 2.5 million was spent on the period on capital projects which enhance the operating capacity of the Group. And this includes a new off-site 28.10 vehicle preparation facility in York, together with, for example, the expansion of our Toyota outlet in Chesterfield. Net Debt at the end of the period was GBP 78.3 million, excluding lease liabilities, representing a GBP 5.6 million decrease on the position last August despite expending GBP 22.5 million to GBP 2.4 million on the Burrows acquisition. Slide 18, which is my final slide, covers the Group's capital allocation discipline. We remain focused and thoughtful around capital allocation, looking to achieve a balance between investment and growth, and shareholder returns. When we look at growth, we target returns in excess of weighted average cost of capital and with our strong asset base and low Gearing, we believe we can successfully balance both growth and shareholder returns. A key element of the Group's approach to capital allocation is our pruning process. This is where we constantly review dealership operations to ensure an adequate return on investment and contribution to Group profitability. Following such reviews, the Group has exited the Citroen outlet in Nottingham in the period and the leasehold premises will be refranchised to the Skoda franchise in November. In the period, the Group also took some of these recycled properties held for resale and realized cash of GBP 3.3 million, 10.7% in excess of book value. The Group actually has a good track record of disposal of surplus properties, in particular, at values in excess of book value, and this really reflects the policy of carrying our assets at historic depreciated cost. The Group has had a program of share buybacks in place since FY '17. The Group spent GBP 5.6 million in the period on share buybacks and since the start of these programs has now bought back over 19% of issued share capital. The Group announced a GBP 12 million share buyback program in February and to the end of September had spent GBP 7 million of this program, leaving GBP 5 million remaining for the rest of FY '26. As a reminder, the Group has a stated full year dividend policy of 2.5x to 3.5x fully adjusted diluted EPS. And bearing that in mind, the FY '26 interim dividend has been held at 0.9p per share. It's worth remembering, though, that the cash cost of each of our dividends is reducing as a result of the share buyback program in action. I'll now hand back to Robert for a more detailed update on the Group's trading in the period.
Robert Forrester: Thank you, Karen. So let's turn to the Group vehicle sales performance. We're pleased to report we gained market share in all channels. In addition, margins were stable in new and used cars. There was a slight dilution in fleet and commercial, and this was a mix issue because we saw substantial growth in Fleet cars and a decline in vans, and that mix impacted gross profit per unit. We saw weak growth returning to the new retail market. Now this was after a very strong March, and it got weaker as the period went on. I think the government grants that have been introduced in the late summer are starting to reverse that. Motability saw continued weakness due to the renewals timing and indeed, manufacturers having pressure on their margins and trying just to pull back. The 16.6% increase in Fleet car volume is clearly to be applauded, and we took full advantage of the vibrancy of the fleet market, particularly in battery electric vehicle growth in areas such as leasing and salary sacrifice. The Group has a Core competency in the fleet channel. The van market was weak. It was down nearly 10% in the U.K., and we think this reflects weak business confidence. We, therefore, saw overall a reduced gross profit in that channel. The used car market actually exhibited continued supply constraints, which held back volume for franchise retailers, especially in the 3- to 5-year-old park. This is the post-COVID new car supply problems working its way through the park. At some point, relatively soon, we should see that work its way into 5-year plus, and that affects independent used car operators more than franchise. We should see a franchise market share recovery. Trade prices, reflecting those supply constraints have remained strong and stable. It's fair to say, though, that the subdued consumer probably put a lid on the extent to which retail prices could rise and it didn't rise in proportion to trade prices. This led to the potential for some margin compression. If we take the Group as opposed to the market, we're delighted actually that the group delivered increased gross profit in the used car channel and stable margins. We think our Vertu analytics algorithmic pricing helped to navigate the market successfully. In addition, the July event saw a considerable difference being made to gross profit generation and volume, even to the extent of slightly weaker margins. But overall, our margins in the period were stable. The GBP 600,000 increase then in the period in gross profit on a like-for-like basis in used cars was despite a significant shift in costs for the service department on to the used car department as a result of putting up our internal rates. This, we thought was the right thing to do to reflect higher technician wages. If we turn to the U.K. BEV market, there is growth in the battery electric vehicles, but it is nowhere near getting the industry to the 28% ZEV mandate target that the government has set for 2025. It's fair to say that the private channel remains the weakest when the period reported 13.4% of registrations in the retail channel were BEVs, but the EV grants in August did boost interest in BEVs and increased the rate of growth. Clearly, we are absolutely delighted that while in the 6-month BEV private retail sales were up 55.2%, the Group delivered 82.4%, and that was on the basis actually a very strong growth in H2 last year as well, so we've had two 6-month period now of excellent outperformance in gaining market share in the BEV market. I also should probably note, just for updating for September, the grants did lead to an increase in BEV mix. Overall, BEV mix rose to 23% in the month of September compared to 21% in the 6-month period, but we are still a long way short from 28%. If we turn to Group aftersales, clearly, another very strong performance from the aftersales side of the business. The star performer again was service, GBP 3.6 million worth of increased gross profit in the Core business, albeit GBP 2.1 million came from higher internal charges to sales departments. Our vehicle health check process is being tightened up. Our Pay Later product is making a significant difference both to conversion of repair work identified and to the margin. We think there is still more to come if we can get more consistency across our businesses. We increased some prices in the service department, and that also aided average invoice value. Turning to the parts department, there was GBP 0.5 million more profit coming out of this in the Core business, albeit on slightly weaker margins. We have appointed in September an internal promotion to Group Parts Director to give us more focus on this channel. If there was a weakness in aftersales, it came in the accident repair side of the business. Our smart repair business is still in growth mode, and we are adding vans both to our internal smart repair business for used car preparation and in an increasing business to external customers. The pressure came in accident repair centers. This is quite easy to explain. There has been a significant double-digit reduction in the number of accidents in the U.K., which we are putting down to the increased technology within modern cars, which prevent accidents. My car just stops quite often, far quicker than I would respond to risks. We are seeing as the work has got reduced lower margins as people in the sector reduce margins to try and gain some volume. Our accident repair centers continue to perform at a high level. If we look at more detail of service repairs, we've given some more data here. We've discussed the impact of the internal rate change where we increased the labor costs that our used car department and new car departments had on internal work, so when a used car comes in, we spend 2.5 to 4 hours of labor time on each car to prepare it for sale. Clearly, that has transferred cost to used car department. We're delighted that used cars more than absorb that and indeed, 58% of the like-for-like service profit growth actually came from this change, which we think is right. There's no question that retention into our aftersales business is absolutely critical. And how do we build retention? If this is clearly multifaceted. The first thing we've got to do is sell cars from the dealership locally in the area. No one travels 100 miles for a service. We've then got to deliver excellent customer experiences, not only on a sales visit, but then subsequently on a service visit and more often than not, we do. We have excellent CRM processes, including now some AI components to make sure we're contacting the customer in a user-friendly way to actually get that booking back in. But retention products are also absolutely critical. We have 160,000 customers with a service plan, which means they've prepaid for their service over 2 to 3 years. We have a target that of the used cars that we sell, 50% have this retention product, and we're delivering on that metric. It's probably obvious, but as a vehicle park ages, and we've seen a significant aging over the last 5 years, older cars need more work and have higher bills, higher average invoice value. As you can see, over 3 years, old cars have a GBP 375 average invoice value, less than 3 years, GBP 275. The average age of a car in our workshop is now 4.85 years, which belies -- really goes against the perceived wisdom that franchise dealers only deal with cars in the warranty period. Our search for cost savings has been extensive, where we believe that we cannot afford to do things for customers that are free, certainly if they involve labor due to the impact of the national minimum wage. Historically, when you brought your car in for a service, we've given you a free wash and vac, not a valid, but certainly a wash and vacuum. This is now expensive. We've had a two-pronged attack to try and make sure we can control this cost. The first is using behavioral science to give customers the reason to opt out from that service of a free wash and vac. 60% of our customers actually check in for a service now prior to the visit online, and we then use behavioral science to promote opt outs. In addition, one of our Core divisions actually piloted a charge for a wash and vac, so ceased to do a free wash and vac, and we charged GBP 6.99. This led to a 60% drop in the demand for the free wash and vac, and clearly, we could then remove resource that was actually going to do that. That one division in the period saved GBP 400,000 and had no perceptible increase on customer experience scores. We're now rolling that out in the next few months over our non-premium businesses and expect further cost savings, both from an annualized perspective and across more businesses. So we believe the Group is well positioned. We are a Scaled Group that's stable from a management perspective, well capitalized and certainly asset backed. We have the Firepower, both from a managerial perspective and from a financial perspective to expand our operations and indeed grow our scale. The digitalization strategy, which we've always had is gathering pace. Certainly, AI transforms, I think, what we are capable of to the benefit of productivity and indeed customers. We remain a very people-focused business. AI will not change that. We have excellent people in the business up and down the country from Glasgow to Truro and aided by our technology, they can deliver for our customers. They are motivated to do so. They can also deliver for our manufacturers. And if manufacturers like what we do, we can get more franchise businesses. We are focused on doing the right things and working hard to win.
Operator: Thank you. We've had a number of questions pre-submitted and submitted live. [Operator Instructions] And the first question that we have is, what has been the specific impact on dealer profitability given the recent increase in employer NI charges? And what actions do you envisage taking to mitigate against further potential external employment cost increases?
Robert Forrester: Well, we clearly have mitigated the GBP 10 million that we disclosed in relation to the last Autumn Statement. Karen can sort of just outline which areas we've hit in fairness; I think it was quite clear in the presentation. I think the key question there is the future. There are some more cost headwinds coming around National Minimum Wage again in April, around changes to the ECO scheme, which are all disclosed in the statement and anything else that's counted up in the Autumn budget. Clearly, we're on a journey on cost. We've got some ideas that we haven't fully operationalized, wash and vac point being one of them. And then there's the role of technology. And actually, where we end up next year at this point, I don't quite know -- I don't quite know what the government is going to do and the extent to which we can operationalize speedily the ideas and initiatives that we've got, and we will clearly get into that business planning in the next couple of months. But our aim is to race to try and mitigate as much as possible, just like we did this year, I mean the facts are starting, a GBP 10 million hit due to the budget, but operating costs only up 0.3%, which I think is very good.
Operator: Thanks for that Robert. How is Vertu positioned to weather the ongoing macroeconomic uncertainty?
Robert Forrester: Well, I think we've got some positives. We've got a very stable management team. The management changes we're proposing help us, I think, in terms of giving us more bandwidth to deal with situations as and when they arrive and to take advantage of opportunities. Macroeconomic headwinds will give us opportunities actually and I think we're quite cognizant of that. And when the timing is right, we will action them. The fact we've got an in-house technology arm with stable management means we should know how our business operates. We should be able to identify the areas we want to action from a technology point of view. And I am convinced having seen it in action and actually impacting productivity and cost that technology in general and AI within it is quite an opportunity for us, so we'll certainly be focusing on that.
Karen Anderson: I think the move to a single brand helps us in terms of the marketing message as well. In terms of [indiscernible]
Robert Forrester: It should give us more marketing ROI and give us efficiencies. We've got a job to do at the moment to build the prompted brand awareness in the U.K. for marketing, but it certainly helps make us more efficient and productive for sure.
Operator: Next question is around the FCA announcement. Could you give us more detail on your thoughts on the FCA announcement yesterday and its impact on Vertu?
Robert Forrester: I'm not sure I've got much more to add than we put in the presentation really. The situation is relatively clear of what the FCA's position is. The redress schemes are primarily directed -- are directed at motor lenders. You would have seen further announcements from motor lenders about the need for increased provisions from the sales. We are involved in discussions with the FCA, and we will be looking at the document. We will make sure we respond in a structured and measured way within the time frames. And I don't think -- I think things have moved on, but I don't think our fundamental views on liabilities, where they sit, et cetera, change and the Board don't consider at this current point that we need provisions in relation to the redraft.
Karen Anderson: I think the best thing is the removal of uncertainty actually as well, so once this is finalized, the uncertainty that's been hanging over the sector and potentially holding up acquisitions, certainly, we are reticent sometimes, has gone, so we've got more certainty.
Robert Forrester: I've been much better when this issue was off the table and I think actually that's the view lenders are taking, let's just get this thing done and move on.
Karen Anderson: Yes.
Operator: How do you see OEM manufacturer relationships evolving as the market transitions to agency models?
Robert Forrester: Well, the market isn't transitioning to an agency model. It's clearly a fallacy. We have seen some manufacturers move in that direction, Volvo, Mercedes, SMART franchise has moved towards agency. We saw MINI in the U.K., move towards it in March and BMW are set to move there in 2027. There is no general move in the rest of the sector. In fact, the reverse, Land Rover proposed it and then reversed. Volkswagen brands, Audi, Skoda actually introduced it and reversed. So I don't think this is a major theme we're going to have to deal with.
Operator: Thank you. Next question, the balance between reinvestment in the business and returning capital to shareholders. How do you manage this?
Karen Anderson: I think we've got the strength in balance sheet and the cash generative ability to manage it quite well, and we try and strike a balance between growth. Clearly, it's one of our strategic objectives to grow. But we're quite measured about growth. It isn't growth for growth's sake. It's making sure that whatever we spend our money on gives us a return in excess of weighted average cost of capital, and we like to balance that up with share buybacks and dividends. One of the arguments is the share price of the group being what it is compared to our tangible net assets value means that we can effectively buy ourselves at a discount. We can't really do that for acquisitions. So I can see the argument for sort of balancing it more towards share buyback. But we think we want to maintain our position as one of the bigger players. We think scale is important, and therefore, it's vital we balance up the two.
Operator: Thanks, Karen. A technical question around the share buyback. The question is your share buyback, what is the average price you've paid since you started the buyback, including pension shares?
Karen Anderson: Including which pension shares?
Operator: Including pension shares.
Karen Anderson: Share incentive plan shares. Not sure about the share incentive plan shares, but of the 78 million shares we've bought back since the program began, we've paid an average price of 54p.
Robert Forrester: Employee trust shares are bought in and then sent back out again, so I don't think that's particularly relevant, it's not buyback. Yes, 54p, which is actually significantly lower than tangible net assets per share.
Karen Anderson: Yes.
Operator: Yes. Next question. Robert, you mentioned the management changes so you can focus on more strategic elements of the business. Is this also an element of succession planning?
Robert Forrester: Yes. I think that -- I don't actually agree that the change has been made for me like to be more strategic. I think it's a little bit more nuanced than that. I aim to spend my time actually more with manufacturers, of which we've got over 34, a lot of new manufacturers coming on. I think it's important I build relationships with them, and I haven't spent enough time in my view, with manufacturers. I actually want to spend more time in dealerships and actually get closer to the action and understand what's going on for colleagues and for our customers. The two new Managing Director roles will take responsibility for the operation directors who currently report to myself. They will do the monthly reviews and hopefully execute tighter within the business. I think we've been lacking a bit of bandwidth. We are literally a GBP 5 billion business, and we were broadly running it a bit like it was half the size. So I think this is the right thing to do. There is clearly a succession planning element to this. But I think that is not willing a long time off, not a short time off, but actually making the step up, say, to CEO, we would envisage to be much easier from an MD role than it would be from a Group Operations Director role, and actually one of the key focus areas is for me to spend time with senior management and executives, and continue to develop them. Both Leon and Anthony have come out of our next-generation program. We've got a new round of next generation of 12 people who are being put through their paces for senior development. And I think that's very important for the sustainability of the group and for us to generate value for shareholders. I wouldn't get too excited about succession planning just yet, but I think there is a general direction.
Operator: Thank you. We've had a lot of questions relating to Jaguar Land Rover. Robert, maybe you could talk us through what we should expect to happen next.
Robert Forrester: Well, surprisingly, I have not got a crystal ball. So I think the main thing to say is nobody knows actually. All we can set out is the impact in September, which was marked, a GBP 2 million impact on profits and a statement which is fact that things have eased in the last 10 days. We're getting far more parts now. Clearly, production has just started, but there's a question mark over the extent to which we will get new car product. There will be -- there clearly has been a gap and now is an unknown about that. And we've done an assessment of the full year impact. We think we hope we've had somewhat on the side of caution with the GBP 5.5 million -- in the words were up to GBP 5.5 million, but the answer is no one knows. And when you look at the history of other cyber impacts around M&S, it's taken quite a while. So I think we are pretty cautious and flagging that there clearly is an issue. There was an issue but the two of the 5.5 billion is literally banked. So there is continuing disruption, though it has actually better than I expected, I think, in the last sort of 10 days, and I think our assessments reflect that. Clearly, a completely an unfortunate one-off event. Now we do have, as we flagged, an insurance policy that covers us for business interruption from third-party outages clearly is a positive thing. The GBP 5.5 million up to does not include any recompense from any insurance policy, so it's potential that we'll have some upside thereafter. We have appointed forensic accountants to help us put together the claim and are clearly working in insurance, but you can't finalize a claim when you haven't finalized the impact. So this will clearly be covered in further announcements in due course.
Operator: Thank you, Robert. Slower-than-expected EV adoption has been in the news. How are you managing the potential impact? Sorry, there's an additional element to that as well, so I missed that. And how have the recent EV incentives affected the market was the other part of that question, apologies.
Robert Forrester: Yes. I think there's a short-term and a medium-term element to this. I think we've been quite vocal that there's more chance of burn less than in the Premier League than there is a bit in these EV target. There is no chance of the industry hitting these EV targets. So the target for 2025 is a battery electric vehicle mix of 28% with the electric vehicle grants clearly aiding the September market, but definitely did aid the September market and they will aid these market for the rest of this year, maybe into next year. The industry hit 23% or just over 23%. So clearly, no one is going to hit those targets. In the short term, I am more optimistic today than I was 12 months ago about the near-term prospects for the rest of our financial year. And I think there are 3 reasons, which I outlined in the presentation. First off, the government has improved the amount of flexibility within the ZEV mandate target, so they can effect -- the manufacturers can effectively not hit 28% and still not pay fines. That's positive. That takes a bit of pressure. Second, the EV grants that were put in place, which are not for everybody in terms of not every manufacturers got them, but they have led to increased consumer demand for battery electric vehicles. Now there's a fascinating debate about whether this is making people switch from petrol and diesel into -- and hybrids into battery electric vehicles or whether it's actually augmenting the overall market. I think there's probably a bit of both. The third element is we are now getting desperately what we needed, which is our cheaper battery electric vehicles, and I outlined that in the presentation. That helps. So in the near term, I am optimistic. However, I wouldn't like investors to think that this whole electrification thing has got kicked into the long grass and has gone away. It hasn't. The targets are unachievable. This is a headwind on future manufacturer profitability and therefore, by definition, sector retail profitability. If you look at our last 3 periods of 6 months, we've seen new retail, Motability, profitability decline in each of those periods, quite markedly actually. So clearly, there is a headwind and a sector issue. And I think the industry manufacturers and retailers, predominantly manufacturers will come back to the government at some point because the pressure will build again. And we haven't really talked about the [indiscernible] that mandate targets, which I think are even worse actually. I don't think why [indiscernible] wants an electric van. So near term, a bit happier; medium term, still concerned and the whole thing will have to get revisited. There is a global move back to petrol and hybrid. started off in the U.S. under Trump, but it's actually well advanced now in Europe. There's a lot of thinking going on in Europe about extending time scales. It's fair to say our government are not at the front of the queue in rethinking the policy, but the zeitgeist noise among certainly the opposition parties is this has to be tackled because it is not creating value. So I think it's one to watch really. The problem has not gone away, but I am more confident actually in the short run than I was this time last year. That is for sure.
Operator: Thanks, Robert. Just conscious of time at the moment, so maybe we'll go a bit more quick fire questions at the moment as we've only got sort of 4 minutes left. Karen, given the strong balance sheet of freehold, favorable leasehold properties and cash position, would you consider relisting as a property company with a healthy cash balance generating tenants?
Karen Anderson: Never thought about it. No.
Robert Forrester: I don't think it's a serious question, to be honest. Successful retailers have always had high levels of freehold property, and those with only leasehold property tend to find problems. We are an operational business primarily, albeit with a very, very strong property portfolio. So I understand where the question is coming from. It's just not -- It's not on the agenda.
Operator: Thank you, Robert. Can you expand on potential BYD and Chinese manufacturers in the U.K.?
Robert Forrester: Well, I think we will expand. I think that's what the question was asking. We will engage with the Chinese manufacturers because I think they will take some share; that share will be limited by the number of showrooms available in the United Kingdom. We've got to be very clear that we will prioritize profitability in the short and medium term rather than go and chase market share. Remember, Chinese operators have no aftersales in the book. A lot of our profit comes from aftersales. So we will not go chasing shiny new toys. We will make financial decisions based on investment hurdles. And if that means we're slower in adopting Chinese brands, then so be it. It doesn't preclude you from then acquiring them later on in acquisitions and I suspect that's where we'll end up. We are very confident on BYD. I think it is an excellent technology company that makes cars and their marketing is excellent. So I think we're very confident in that. We will grow with some others, but I don't think we'll be at the front of the queue actually.
Operator: And with limited historic vehicle parts in – Sorry, it just disappeared for me. Sorry, we'll move on to a different one that’s there. And what impact will increased BEV vehicles share have on high-margin service revenues in the future due to their reduced service to repair requirements?
Robert Forrester: That's a good question. And I think Scandinavians are obviously ahead on the curve. I think it switches between parts and labor. You get less parts. Oil filters being a classic example, oil being another example, but there's still a labor requirement. When things go wrong, they go wrong big, and they go wrong with heavy labor. We make 75% labor margins and we make 20% parts margin, so actually, we could afford for average invoice values to come down, but that makes us still protect profitability. The key question is will modern cars be serviced and repaired by franchise retailers or by independents or not at all. And I think we're pretty confident actually that the technology is so sophisticated that if something goes wrong with one of these modern cars, they're coming back to the franchise retailer and I've seen very little evidence to say that isn't going to happen.
Operator: Thanks, Robert. Last question. The potential regulatory changes to employee car ownership schemes could increase costs by around GBP 2.5 million per annum. What mitigation strategies are being explored?
Robert Forrester: None. That's the point, isn't it? There's no mitigation strategy, that is a fact. What we have to do clearly is, as I said in the earlier question, is a race, isn't it, of structural cost changes and then trying to find structural cost savings on the other side, which we have been spectacularly successful this year. But clearly, it is an exceedingly unhelpful development and symptomatic of this government's policy towards British business.
Operator: Well, Robert and Karen, thank you very much for the questions today. Robert, just going to hand back to you for any closing remarks at the moment.
Robert Forrester: Well, I'd just like to say thank you for giving up your time. I know your time is very precious. There are a lot of companies you could spend time looking into and investing in. We feel we've got a very, very strong operational business. The U.K. is not the easiest place in the world to do business at the moment, but one day, the clouds will clear, and we will have an exceptionally strong large business with which then to expand and do very well in. Thank you.
Karen Anderson: Thanks.
Operator: Thank you very much. And that concludes the Vertu Motors investor presentation. I'd like to thank Karen and Robert for that. Please take a moment to complete the short survey following this event. The recording of the presentation will be made available on the Engage Investor platform. I hope you enjoyed today's webinar. Thank you.
Karen Anderson: Thank you.